Nathan Ryan: Good morning, and welcome to the Perseus Mining Investor Webinar and Conference Call. All attendees and are in listen-only mode. If you would like to ask a question directly to the company, please use the raise hand function within Zoom. I'll now hand over to Perseus Mining, Managing Director and CEO, Jeff Quartermaine. Thank you, Jeff.
Jeffrey Allan Quartermaine: Thanks very much, Nathan, and welcome to Perseus Mining. We're now to discuss our annual report for the financial year ending 30 June. Now as you are aware, this annual report these days includes both our annual financial report and our sustainability report; and these documents, along with a range of related documents were released to the market this morning. I'm joined on the call today by my colleague, Lee-Anne de Bruin, who, as many of you on the call would know, is Perseus' Chief Financial Officer. Lee-Anne and her team have been working very hard to produce the financial report that's been released today. And once again, full thanks go out to all team members both in Australia and offshore, and of course, our auditors PricewaterhouseCoopers through all their excellent work in preparing the document. And while I'm thanking people, I should also thank Mel Pollard, our Chief Sustainability Officer and her team for their work on preparing the sustainability report. In just a moment, I'll ask Lee-Anne to take you through the details of the financial report, and then I will pick up on the sustainability report. And then when we have finished our presentation itself, share a few thoughts with you on the way forward for Perseus, and we will then conclude today's webinar with a Q&A session, as Nathan, I think you already mentioned. Now if you're listening to this webinar through your computer, you should be able to follow the presentation on your screen. If not, it has been released to the market, and you can take a look later, and I'll try to make the presentation as relevant as we can for those who aren't seeing the screen. So just moving forward, before handing to Lee-Anne, I'd just like to talk a little bit about the operations that have led to today's financial results. And I'm showing you a graph that shows our production on a quarterly basis over the last 4 or 5 years. The thing that stands out about this is the consistency of our performance over that time. We've averaged around 509,000 ounces of gold at an all-in site cost of $1,048 an ounce for the last 4 financial years. But of course, as everyone knows, we've done that in an environment of a climbing gold price, which has given us an increased margin and of course, has certainly contributed to the excellent financial results that we'll speak of in just a moment. In terms of the most recent 12 months, of course, our performance relative to guidance, both production guidance and cost guidance has been very, very good. I think we ended up in about the 77 percentile of the production range and right to -- just below the bottom end of the cost range. So that was a very credible performance once again. And you can see from the chart that's on the screen, the value of us being a diversified company, in other words, having multiple mines in multiple jurisdictions. While one or other of the mines may not have performed as strongly as they have in previous periods, the others have picked up the slack, which has led to this very good and consistent performance that contributes, as I say, to the financial results. So with that, I'll pass to Lee-Anne, and she will take you through what we've actually achieved both in terms of operations and finance.
Lee-Anne de Bruin: Thanks, Jeff. As you say, our teams across Africa and Australia have again worked to deliver excellent operating results, and these have culminated in us delivering excellent financial outcomes for the FY '25 financial year. Despite production being slightly down by 2.6% on FY '24, we produced just under 500,000 ounces of gold over the 12 months, and this is on the upper end of guidance. All-in site cost was up USD 182 per ounce at $1,235 an ounce. Average gold sales price increased by USD 529 per ounce, delivering a price of USD 2,543 per ounce, and this is largely due to the increased gold prices, and this delivered a cash margin for the group of $1,308 per ounce. Collective effort of our teams then generated a notional cash flow for the 12 months of USD 650 million or AUD 990 million and ending with net cash and bullion at the end of the financial year of USD 827 million or AUD 1.3 billion. Moving on to the key financial metrics. Revenue was up 22% at $1.2 billion or AUD 1.9 billion, largely due to the gold price. Profit after tax up 16% at USD 421 million or AUD 651 million. And our operating cash flow, importantly, was up 25%, delivering USD 537 million or AUD 826 million. This result was generated, as I've said previously, due to the increase in revenue due to higher gold prices offsetting our decrease in gold production from Sissingué and Edikan during the year. The increase in revenue was in turn offset by an increase in cost of sales due to higher mining costs, particularly at Yaouré and higher royalties from an increased gold price. Increase in the income taxes expense went up by USD 13 million to USD 142 million, with Perseus success enabling further contributions to the government of the countries in which we operate our gold mines. Net tangible assets have increased by 56%, delivering USD 1.9 billion or AUD 2.9 billion. Moving on to the growth in earnings. FY '25 with all of the -- with the operating excellence has delivered strong growth in our earnings across all of our metrics. EBITDA, up 18% at USD 740 million or AUD 1.1 billion. The gross profit from operations, up 22% at USD 587 million or AUD 906 million. Basic earnings per share have increased 14% to USD 27.02 per share. And then very importantly, a very key focus on Perseus' team is our earnings per ounce was up at USD 853, up 19%. Cash flow. We've generated another year of strong cash flow, you're able to see in the results. The operating cash flow per share was USD 0.39 per share, up 25% on the previous financial year, and our operating cash flow per ounce is up 29%, delivering USD 1,086 per ounce. Moving towards the balance sheet. Perseus ended the financial year with a cash and bullion balance of USD 827 million or AUD 1.3 billion, with no undrawn debt on the U.S. dollar $300 million debt facility. And the total assets of Perseus Group of USD 2.5 billion and net tangible assets of USD 1.9 billion. So a very strong position as we go into FY '26. Perseus continues to focus on deploying capital, which ensures delivery of reliable and strong operating cash flows, whilst always maintaining a balance sheet resilience under a range of trading conditions. This year, we have generated USD 650 million, as I've said, in notional cash flow. And this has allowed us then to also just to make distributions to our local government shareholders through dividends of USD 36 million or AUD 55 million, and we have paid income tax and withholding taxes to our host countries of a total of USD 131 million, which is at AUD 200 million and something we're extremely proud of. Perseus looks to also deploy discretionary investments to ensure that our assets are performing optimally. We're focused on our growth strategy, and we've done that this year to making the decision on the CMA underground and the investment that we're making in the Nyanzaga gold project in Tanzania. And we also want to be continuing to be able to deliver sustainable returns to our shareholders through dividends and share buybacks. With that in mind, Perseus Board resolved to declare $0.05 per share final dividend, bringing the full year dividend for FY '25 to $0.075. in addition, this year, Perseus returned capital to shareholders by its share buyback, executing AUD 83.6 million of the buyback at the time of releasing this report. Since 2021, when we launched our dividend program, Perseus has returned to its shareholders a total of AUD 354 million, through either capital returns, dividends or buybacks. And finally, the Board resolved as well to renew the share buyback program in FY '26 with up to AUD 100 million to be invested over the next 12 months. So I'll hand back to Jeff after delivering those results to talk about our sustainability performance and other aspects.
Jeffrey Allan Quartermaine: Okay. Thanks very much, Lee-Anne. So they were very, very good results as you could tell. But the pleasing thing is that in delivering those results, we've got about our work a sustainable and particularly in a safe manner, something we are proud of. Now this year, we have, as I say, put a sustainability report out at the same time or as part of our annual report. And this is a very comprehensive document, which outlines the work that we've achieved this year. Now just a couple of slides to summarize what some of the significant achievements have been. One of those is to very firmly think through our path on sustainability to make sure that the strategy that we are delivering upon actually delivers where it counts most. And in setting that strategic framework, we have responded to our shareholders' expectations. And we've set very clear targets that will drive performance in the future. Our sustainability strategy is built around four key pillars, people, environment and climate, community and economic development and government and risk. And basically, what this does is it outlines what is important to us and what is important to our stakeholders. Furthermore, what we have done during the period is we've had an independent material -- second materiality assessment completed to look at our strategy to make sure that we are very much focused on the things that are going to make a difference to those who count. If you look at the results that we have actually delivered during the course of the year, as I said, safety is one where we have done particularly well, a 43% improvement in our TRIFR, which came in at around 0.6%, which I think anybody who understands safety metrics would acknowledge that, that result is as good as you will see anywhere in the world. In fact, if not better, which is something that people don't often associate with African operations, zero fatalities we've incurred, which is something which is extremely important to us. In terms of our people, the mix of women in our workforce and men is improving over time. I think the point to be noted in this respect is that we are operating in a cultural setting that is very different to the Western world. And so the results that we achieved in this area of diversity are not those that you would achieve in a Western setting but nevertheless, very considerable. In terms of environment, we've made some very significant advancements in our tailings management aligning with best global practices and standards. We have had zero events during the year. We have been involved in land rehabilitation and monitoring carbon emissions, et cetera. As Lee-Anne has already noted, we've made some fairly significant contributions to our host countries and communities. In fact, if we add it all up, about $813 million has been injected into our various host economies in terms of economic value. That includes a range of things. It's not only taxes and royalties, but it's also local procurement, employment, et cetera, et cetera. But I'm sure you'd agree, that's a fairly substantial sum of money which has been injected into our communities. Across the board, about 94% of our employees are national people, which is great in terms of being able to drive those economies. We've also made significant contributions at a community level, which is very important. I mean that investment is not only just on infrastructure, but also in important areas of education and health. And I think it's fairly clear that we are making a difference to the lives of a lot of people, which is something that we are proud of. In terms of governance and risk, we take that very seriously. And we're working to global standards. We are aligned to the World Gold Council responsible gold mining principles and maintain compliance with conflict-free gold standard. So I think that the work that is being done on the sustainability front is something that we are quite proud of. So that's a quick summary of the results. And let me just say a couple of closing words, if I may. These financial results and operating results that we've delivered this financial year and about which we just spoke and reflect a continuation of the elevated gold prices, but also our strong and consistent and sustainable operating performance at all levels of our business throughout the year. Since our maiden dividend distribution occurred back in August 2021, Perseus has returned AUD 286 million to our shareholders via a combination of dividends and share buybacks. That's to date. And as noted, given our strong financial performance in fiscal '25, our Board has decided to increase capital returns to shareholders by declaring the final dividend of $0.05 per share, bringing the full fiscal '25 dividend to $0.075 per share. And that's about 50% more than the total dividend paid in the previous financial year. As Lee-Anne said, we've also decided to continue our program of buying shares back by investing a further $100 million in buybacks over the next 12 months noting that for many shareholders, this is now the preferred form of capital return. So I think that we're trying to -- we've listened to our shareholders, and we are doing what they seem to believe is the preferred way of receiving capital returns. So hopefully, that will be well received. Now in determining the quantum of these capital returns, we have carefully assessed our quite considerable cash flow generating capacity as well as the capital investment program that lies ahead for Perseus as we develop both the Nyanzaga project in Tanzania and the CMA Underground project at our Yaouré Gold Mine in Côte d'Ivoire. And we look at extending the lives of both the Edikan and Sissingué operations through cutbacks of existing pits and various other initiatives. So there is quite a lot of work to be done in the coming periods which will require investment. And as I've already noted, we are mindful that in addition to investing in the future growth of the company, we need to invest in our social license to operate by continuing our current practice of contributing materially to the economies of our host countries and host communities and also paying fair salaries to our local and expatriate employees who have been the ones who have delivered these outstanding results. Having achieved our corporate mission of generating material benefits for all stakeholders in fair and equitable proportions in '25, as a company, we're looking forward to continuing to operate in this manner for many years to come. Now finally, as many of you know, this will be my last webinar representing Perseus. I'll be retiring from the company shortly and will be replaced in the role by Craig Jones who has been recently joined Perseus as the CEO designate. I trust that Craig will work tirelessly to not only continue Perseus' traditions of delivering on our promises and generating material benefits for our stakeholders but also continue to grow the company and to leverage from the base that's been successfully set up by our team over the last few years. And in doing that, realize Perseus' very significant full potential. So good luck to Craig and the team. And once again, many thanks to our employees, shareholders and friends. Thanks very much. Any questions, please?
Nathan Ryan: Thank you, Jeff. [Operator Instructions] Your first question comes from Ben Wood at UBS.
Ben Wood: Jeff, congratulations on your tenure and the results. I just have a question around just sort of having a look at the timing for the CMA Underground, just checking that that's all sort of on track for this quarter. Yes. And just sort of, I guess, ramp-up assumptions as well for Nyanzaga, which all appears to be on track based on the recent releases.
Jeffrey Allan Quartermaine: Yes. No. Okay. Well, look, since our quarterly report was put out, was that about a month ago, I guess, it is, yes, we have made significant progress. So the approval of our contractors, subcontractors license was signed through the other night. So that's very good, which means there's no problem in terms of bringing the equipment we need through the ports, et cetera, et cetera. And I think we mentioned in the quarterly report that we are now requiring a presidential decree as opposed to a ministerial decree to move forward. Very pleased to say that the parliament in Côte d'Ivoire is currently in summer recess, but they do resume. And I think it's about the 6th or 9th of September, and the matter of our decree is firmly on the agenda for the attention of both the cabinet and the President. So we're very confident that by the end of the quarter, we will have all of the things that we need, and we'll be moving ahead at full steam. So we have lost a couple of months on the schedule. However, we've been using that time very wisely to be working on infrastructure and getting everything ready to move very quickly. The impact on production is fairly modest as it turns out, and we have identified other areas within the Yaouré operation, where if everything works to plan, we should be able to recover most, if not all, of any production loss by the slight delay. So we're fairly happy with the way that's progressing. And when come to Nyanzaga, I think we put out an announcement early this week, I think it was Lee-Anne was in Tanzania last week and signed the agreements with the government modifying the various the framework agreement and stakeholder agreement. That was a terrific outcome. We were always confident that the signing would occur, given that we had done a lot of work last year in reaching a landing with the state. We were very happy with it as with. I think it's a genuine case of a win-win situation where both the government has been served and as is our shareholders. And we've got a set of arrangements in place now that we can move forward working to and feel very confident that we know what we're doing in terms of our arrangements with the government. On the ground, things are moving along really well actually, really well. And we've said publicly some time first gold in January '27, but I think that I know that our teams are certainly motivated to do a bit better than that, but it's a little bit early to call at this particular juncture, but I can assure you that everyone is very focused on delivering that outcome. So all in all, that is in really good shape, much better position than when we came to the market with our quarterly report about a month ago.
Nathan Ryan: Your next question comes from Al Harvey at JPMorgan.
Alistair Harvey: Yes. Jeff, can you hear me?
Jeffrey Allan Quartermaine: Yes, I can hear you. .
Alistair Harvey: Yes, I just want to add my congratulations to Jeff, done a great job there. Just wanted to follow-up on the Nyanzaga recently announced executed agreements there. There was a quote in that release that did indicate that there's still some work to be done to fully implement the agreed changes. So I just want to get a sense of what that remaining work is.
Jeffrey Allan Quartermaine: I'll ask Lee-Anne to address that, particularly because she has been working on that.
Lee-Anne de Bruin: Yes. So thanks. The next steps are really just the agreement sort of puts all the fiscal arrangements like the VAT exemption in place. But part of that is that the government has committed to make sure that we get government -- formal government notices from the various departments to ensure that we don't have any issues along the way getting those put in place. So it's just the last step in the process, and it's -- I think it should take another 2 or 3 weeks, hopefully, to get done. However, that said, we are of the view we probably can just use our framework agreement to access those exemptions.
Jeffrey Allan Quartermaine: Yes. The agreements are rock solid. It's just about having a piece of paper to show to various government departments as we move through the process.
Nathan Ryan: Your next question comes from Reg Spencer at Canaccord.
Jeffrey Allan Quartermaine: Reg, I bet you're on mute there, Reg.
Reg Spencer: I've got no questions on the result. Just wanted to say congratulations for everything that you guys have done, especially you, Jeff, over a very long period of Perseus from someone who's covered the stock for well over 12 or 13 years. So again, congratulations, Jeff, and all the very best. Hopefully, get to catch up soon.
Jeffrey Allan Quartermaine: Yes. Thanks, Reg.
Nathan Ryan: Thank you. There are no further questions at this time. So I'll now hand back to Lee-Anne for closing remarks.
Lee-Anne de Bruin: Thanks, Nate. I just wanted to just -- publicly just say thank you to Jeff from myself and all the staff at Perseus. When I joined the group 5 years ago, I couldn't have imagined the journey that I was going to be on, and I remember asking somebody how do things work here and someone say, look, you just got to keep up with Jeff. So I just want to say, thank you, Jeff, for your personal investment in myself and all the staff here, you're going to be deeply missed. And we will continue to hold up your legacy and deliver the Perseus dream of doing what we say we're going to do. So thank you, Jeff. You will be deeply missed by us and everybody across the group.
Jeffrey Allan Quartermaine: Okay. Thank you very much. Okay, thanks to all the listeners, and let's see how the future unfolds.